Annie Ho: Good morning everybody, and welcome to Swedbank's First Quarter 2024 Results Presentation. My name is Annie Ho from Investor Relations, and with me in the room today is Jens Henriksson; Anders Karlsson and Rolf Marquardt, our CEO, CFO, and CRO. We'll start as usual with our presentation and follow-up with Q&A. With that, I hand over to you Jens.
Jens Henriksson: Thank you, Annie. Swedbank has again delivered a strong and sustainable result and our profit increased compared to both the previous quarter and year. Despite geopolitical uncertainties with war in Europe, turbulence in the Middle East and climate change, I still feel somewhat optimistic for the economic development. The global economy remains remarkably resilient with growth holding steady as inflation returns to target. In the U.S., inflation remained high while dropping in the Eurozone. In Latvia and Lithuania, the recovery has been rapid and inflation has fallen to normal and low levels. Estonia is on its way out of the recession. In Sweden, the recovery is in sight and the Riksbank left the policy rate unchanged. The view that inflation is heading lower was reaffirmed and the first rate cut could happen in the second quarter. At the same time, interest rates will remain high for longer. Despite difficult economic times, the Swedish economy have shown more resilience than expected. Consumer purchasing power remained under pressure, but there is a positive outlook. There is fiscal space in all our home markets especially comparing with the rest of Europe. Our economies expect that growth in Sweden, Estonia, Latvia and Lithuania next year will be among the highest in Europe. In these times, Swedbank delivered a strong result of SEK 8.4 billion for the first quarter. Net interest income decreased by 5%, half of which were business driven. Continued increases in equity prices positively impacted commission income, which was up by 6%. Costs have fallen compared to last quarter as planned and our cost to income ratio was unchanged from the previous quarter at 0.34%. As we announced last quarter, our high profitability enable us to strengthen and accelerate investments to fight fraud and improve data processing not the least for the IRB overhaul. At the same time, the number of employees has continued to increase due to lower turnover than we had forecasted. We have therefore implemented a temporary hiring freeze with exceptions for business critical positions. As you know, we have strong ambitions regarding the fight against financial crime. We want Swedbank to be on the forefront. Five years ago, the group function Anti Financial Crime AFC was created. Now we take the next step on our maturity journey and consolidate AFC within group products and advice to enable greater efficiency by integrating operations in the product and service offering with a focus on digitization. And the group executive committee thereby shrinks with one member. Summing up, we delivered a return on equity of 16.9% and an earnings per share of SEK 7.47 for the first quarter. A sustainable bank is a profitable bank. And it's worth reiterating that our dividend for 2023 is now being put to use by the savings banks, insurance companies, pension funds, funds, retail investors and foundations. The dividend goes back to and benefits society. Swedbank has a conservative and thorough lending process and our credit quality is solid. Credit impairments for the first quarter amounted to SEK 144 million. We have a strong ability to generate capital and a strong capital position with a buffer of 4.2%. Our liquidity position is strong and our digital availability was stable at high levels in the quarter. And Swedbank is an important part of our society's infrastructure. Every day we assess risk and ensure that we are resilient to withstand cyber threats, but alone is not strong. We therefore have a good collaboration with both the private and the public sector. Our customer promise is to make our customers' financial life easier. During the quarter, we changed our organization in Sweden based on how private and corporate customers meet us. In this way, we can even better customize services and adapt our offering to our customers' need. We shall be proactive and make the right competence available to the right customer at the right time and these are actions that are important for customer satisfaction. Swedish Banking has retail customers and micro corporate customers and the business area plays a key part in increasing availability and is an engine for the entire Swedish market. Retail customers with more complex needs receive dedicated service throughout the country from our specialists and advisers in the new business area premium and private banking. And our extensive knowledge of the local market is a strength. Corporate customers who need specialized expertise are brought together under the business area corporate and institutions with access to our entire product offering. And as you know, this reorganization is a part of our plan 15/25. Swedbank is the leader in mortgages in our four home markets and during the quarter our lending increased. In Sweden, the housing market remained sluggish, but during the quarter we saw an increase in housing prices. At the same time, housing investments continue to be slow. We have the best full service offering in our home markets and are ready with financing for our customers when they want to move. During the last six months, we have grown our mortgage portfolio every month through our own channels. And during the quarter, our market share rose. In the Baltic markets, activity was high and we have a strong homeowners insurance offering in connection with the home buying process. The savings business is keeping pace with the market and we offer competitive rates and tough competition in all our home markets. Deposits were stable. And in Sweden, the high cost of living continued to squeeze households. We are the leading bank in Estonia, Latvia and Lithuania and that is a responsibility that we are happy to take not the least by building a savings culture. In 2019, we established a savings strategy. Now five years later, we can see the results. Our Robur funds have become a popular investment alternative and more than 60,000 customers have chosen to invest in them. In the quarter, more than SEK 500 million was invested in the three Baltic countries. This is 3x more than in the first quarter last year. Our corporate customers remain cautious in all our home markets. The Central Bank's tightening has had an effect and we see that there is less money in the system. Our corporate lending was stable in the Baltic markets, but decreased slightly in Sweden during the quarter. At the end of the quarter, however, we saw a slight increase in business activity in Sweden due to expectations of rate cuts. Swedbank contribute to a better and more sustainable society and we're doing it together with our customers. And sustainability is at the core of our business strategy. We continuously find ways to give our customers better advice in the area of sustainability in cooperation with partners such as Hemma, Ramboll and Agronod. Swedbank's customers can find help and support to implement a green and smart energy transition. Our green zero margin loan was a success in Estonia and Latvia in 2023. We are now launching a new green offering in all our Baltic home markets and we see a continuing strength demand. And with that, I give the floor to Anders Karlsson who will deep dive into the financials.
Anders Karlsson: Thank you, Jens. Good morning, everyone. Let's start with lending and deposits. The underlying total loan portfolio decreased slightly excluding a positive FX impact of SEK 12 billion. In Sweden, total private mortgage lending was stable and Swedbank's own channels continue to deliver consistent mortgage inflows and we are attracting more volumes from other banks on a net basis. But the outflows to the savings banks continued. Mortgage volumes are still low, but house prices have started to increase and transaction volumes year-over-year have improved somewhat. Total corporate lending in Sweden decreased by SEK 6 billion. Lending to property management increased while other sectors such as public sector and utilities, professional services and shipping saw large individual repayments. In Baltic Banking, both private and corporate lending increased by SEK 1 billion each. Customer deposits increased by SEK 19 billion excluding a SEK 16 billion positive FX impact. In Sweden, private deposits were stable and corporate deposits increased by SEK 15 billion in money market deposits. In Baltic Banking, both private and corporate deposits were stable. Turning to the revenue lines, beginning with net interest income, which decreased by 5% quarter-on-quarter but is SEK 663 million higher compared to Q1 2023. Half of the quarter-on-quarter decrease was due to non-business driven items FX and day count as well as Q4 adjustments for the deposit guarantee fee and C&I's origination fees. The other half came from known headwinds such as lower average lending volumes in C&I, lower deposit margins due to mix shifts and proactive wholesale funding costs both 81% and senior non-preferred issuance. We have for the last two years seen the effects of QT primarily impacting corporate deposit volumes in higher margin accounts. And in both Swedish and Baltic Banking, we continue to see mix shifts to fixed term accounts, but at a lower level. Looking ahead in terms of NII drivers. Our macro research team predict that the Riksbank will make their first rate cut in May which could be followed by three more cuts at the end of the year. The outlook for the economies in our home markets is positive and this will provide an opportunity for lending demand to return. Going forward, we will continue with our proven pricing strategy and actively work with our administratively priced core products on both sides of the balance sheet. Over to net commission income which increased by SEK 222 million mainly driven by stock market performance and net sales in Asset Management. But also debt capital markets within securities and corporate finance performed well. Net gains and losses ended at a good level. Fixed income and FX sales and trading performed well contributing SEK 590 million to NGL. There were negative revaluations from funding related swaps and the SEK 137 million in other was mainly due to equity investments revaluations. The quarter-over-quarter decrease was mainly due to high positive revaluation impact within treasury last quarter. Other income decreased by SEK 270 million, while underlying net insurance income improved, revaluation effects accounted for essentially all of the Q-on-Q change. Income from partly owned companies were slightly higher. Total expenses came at SEK 6.2 billion in the quarter, which is in line with our full-year guidance. And to a large extent the result of us speeding up the temporary investments that we communicated last quarter. Underlying costs increased due to salary reviews in Sweden and third party contracts that continue to reprice at higher levels. Now over to you Rolf to talk about asset quality and credit impairments.
Rolf Marquardt: Thanks, Anders. Credit quality is solid. Our customers show continued resilience and the credit impairment ratio in the quarter was 3 basis points. In Sweden, we continue to see an impact from the economic downturn and interest rates. Past due loans for Swedish households were at very low levels, but increased slightly. We note that the inflow of forborne exposures has started to decline and sentiment is improving. For Swedish corporates and in Baltic Banking, past due loans and other risk indicators were stable. In the first quarter, credit impairments ended at SEK 144 million. The updated macro forecast increased provisions by SEK 25 million. Rating and stage migrations added SEK 403 million. At the same time, SEK 349 million of the post model adjustment was released on the back of credit migrations in property management, but also in the construction and retail sectors. The remaining cost model adjustment is now SEK 1 billion. Individual assessments were SEK 302 million, while net repayments reduced impairments by SEK 313 million. The Swedish property management sector continued to have a stable development during the quarter and sentiment in the bond market improved. The reported vacancy rates increased slightly and rental levels were largely unchanged. Looking at reported Q4 financials of the 20 largest customers, the debt service tolerance ratio that is the breakeven interest rates increased to 8.4%. The average interest coverage ratios declined to 2.5% and we note that the decline leveled off during 2023. So to conclude, we are comfortable with our credit quality. Back to you Anders.
Anders Karlsson: Thank you, Rolf. Turning to capital, our capital position continues to be strong with a CET1 capital ratio of 19.3% and a buffer to the requirements of around 420 basis points. The capital target range of 100 to 300 basis points remains. Risk exposure amount increased to SEK 859 billion mainly from a SEK 14 billion increase in credit risk of which SEK 7 billion comes from FX. I now hand over to you Jens.
Jens Henriksson: Thank you, Anders. As you all know and I take every chance to talk about, I am very proud of our customers' societal engagement, because together we make a difference. Our investors in Swedbank Humanfond has donated SEK 55 million to charity. And during the quarter that money was distributed among 73 different organizations. Now let me sum up the quarter. In these difficult geopolitical times, I feel somewhat optimistic for the economic development. And there are many indicators that Sweden, Estonia, Latvia and Lithuania will be at the top of the growth list of the EU countries next year. In these times, Swedbank's continue to stand strong. Our profit increased compared to both the previous quarter and year. Our return on equity amounts to 16.9% for the quarter. Our cost to income ratio remains at 0.34. Our credit impairments continue to be low. And as Anders shown, we have a strong capital position with a buffer of 4.2%. A sustainable bank is a profitable bank. And with an even stronger organization, I look forward to together with all the people in Swedbank continue to deliver more benefits to our customers and taking further steps towards Swedbank 15/25 because our customers focus is our focus. And with that, I give the floor back to you Annie.
Annie Ho: Thank you very much. Let's begin our Q&A session. And before I hand over to the operator, can I remind everybody to keep to two questions per turn. Shari, handing over to you.
Operator: The first question comes from the line of Magnus Andersson, ABG. Please go ahead.
Magnus Andersson: Yes. Good morning. First one on costs. You write that you keep your 2024 cost outlook unchanged. I was just wondering related to that in conjunction with the Q4 report, you mentioned -- also mentioned a potential net headwind drift of some SEK 700 million, SEK 800 million for '25 in addition to the SEK 1.24 billion whether that still stands? And also on this hiring freeze, I'm just wondering a bit how temporary it is whether you have an FTE target or not. That's the cost question? And secondly, just on NII migration, there was a bit of conflicting messages yesterday. And you seem to be more like SCB when I look at your numbers. Still, Anders, you talk about lower deposit margins due to mix shifts, but we don't really see much in your numbers much migration on Page 38 in the fact book. So if you could elaborate a bit more on that? Thanks.
Jens Henriksson: Well, let me start with the cost question, FTE question. First, we have guided on the 2024, but we have not guided on 2025. And as Anders frequently says and keep on saying, we steer the bank on costs not on FTE and that stands. But when you look at the number of EFTs, it has increased more than we expected. And that is because fewer people leave the bank than forecasted and it might have something to do with the economic development in Sweden. And in some areas, employee churn have more than halved. On one side that is good, because it means that we're a great place to work. But it also means that we need to slow down the inflow. And therefore, we have decided on a temporary external hiring freeze with of course a possibility to make business critical exemptions. With that said, this increased possibilities for internal movements and personal development for our employees. And even though the bank has a cost to income ratio of 0.34, continued cost control is adamant, so that we can deliver a sustainable return on equity of more than 15% in good times and bad times, in times with high rates and in times with low rates. Now Anders you need to go deeper into the NII.
Anders Karlsson: Yes. I will try. Thank you, Magnus. And if I forgot some of your questions, I'm sure you will reiterate them. But as Jens said on cost, we are not guiding for 2025. I think you might have misunderstood what we communicated in Q4, because we said that we have a headwind underlying which is around SEK 1.7 billion, but we will continuously work with efficiencies so the net headwind will be SEK 1 billion. So that might be what you are alluding to. But 2025 is something we will come back to. On the NII migration, I think you -- when you look in the fact book you can see some migration continuing to term accounts. But what we also have seen during the past two years, as I alluded to and so did Jens, is that QT is biting in to the corporate deposits primarily and you see that most of the money has been flowing out on higher margin accounts. So when you see the decrease on corporate deposits over the last two years, the main reason is that higher margin accounts have decreased which changed the mix composition.
Magnus Andersson: Okay. So the comment there about mix shift is more longer term not necessarily so much the quarter-on-quarter development?
Anders Karlsson: Yes.
Magnus Andersson: Okay. Understood. Thank you.
Operator: The next question comes from the line of Rickard Strand, Nordea. Please go ahead.
Rickard Strand: Hi, and good morning. So first question on NII. You show also on the Slide 12 that you have some headwind on funding and other. Can you give an indication what you expect here for the rest of 2024 given your current funding plan?
Jens Henriksson: Thank you, Rickard. What we are planning for, but that is obviously dependent upon what's happening to the deposit volumes. But we are planning to issue around SEK 160 billion. We have front loaded as I said capital and MREL related issuance, and we will continue to do that, due to the fact that we are in a very sort of volatile -- potentially volatile capital markets coming our way. Covered bonds will be the primary tool to cover for any changes in deposit volumes or uptick in lending volumes.
Rickard Strand: Thanks. And then a follow-up on costs also. You flagged that for quite many quarters now that you see head headwind from renegotiations of third party contracts. Is it possible to comment on how you pursue this headwind to be in the coming quarters and years?
Jens Henriksson: What I have been saying in the -- is actually giving you a heads up, because we were protected essentially during 2022 and 2023 from inflationary pressures on the contracts. They started to be renegotiated last quarter and they continue during this year. I don't have an exact date for those, but they are still to be renegotiated some of them.
Rickard Strand: Okay. So more or less easing from next year then it sounds like?
Jens Henriksson: As I said I don't have the exact maturity structure of it.
Rickard Strand: Okay. Thank you very much.
Operator: The next question comes from the line of Gulnara Saitkulova, Morgan Stanley. Please go ahead.
Gulnara Saitkulova: Hi, good morning. It's Gulnara here. Thank you for taking my questions. So my first question is on capital. So we saw the increases in the risk weighted assets this quarter. Can you talk about your outlook on the capital for the coming quarters? What are the key tailwinds and the headwinds that we should take into consideration? And another question is on the education. So earlier we saw that Estonian money laundering probe closed without any charges for Swedbank. Would you consider this as a positive rate of cost for the outcome of the U.S. investigation? Any update there? Thank you.
Anders Karlsson: Thank you.
Jens Henriksson: So should I.
Anders Karlsson: Yes, please. Sorry, I'll leave the floor to you.
Jens Henriksson: So first, during the quarter, the state prosecutor's office in Estonia closed an investigation into Swedbank AS since no crime was committed. And then we can leave that behind us. In the U.S., we are still under investigation by three U.S. Authorities, the Department of Justice, The Securities and Exchange Commission and Department of Financial Services in New York. And as I've repeatedly said during this call that when I was a new CEO, I phoned around and talked with colleagues that had been in similar situation. And they told me that the process like this usually takes three to five years. And I've now been the CEO for 4.5 years. So in that sense we are getting closer. But it's a time line that is fully decided by the U.S. Authorities. I do not know whether we will get any fines. And if we do get fines, I cannot estimate the size of those. And we have been as transparent as possible during this process. And when something material happens, we will continue to adhere to that principle. Now Anders?
Anders Karlsson: Thank you, Jens and thanks for the question. This year we don't see any regulatory capital headwinds. The only thing that will impact risk exposure amount as far as I'm concerned is volume growth and maybe continued migrations. If you look back to the Investor Day, I think we were disclosing potential headwinds but they are mainly related to 2025.
Gulnara Saitkulova: Thank you.
Operator: The next question comes from the line of Andreas Hakansson, SEB. Please go ahead.
Andreas Hakansson: Good morning, everyone. So, two questions on asset quality. I've heard there was some noise in the market this morning talking about your Stage 3 migration. And could you just confirm for me, given that the increase seems to be coming from retail mortgages and CREs, so all collateralized lending, so is the reason that your coverage ratio is falling is that because you have good collateral and your LGD isn't really moving? That's my first question.
Jens Henriksson: Yes, that's correct. And I could comment a bit on the migration we saw particularly on the mortgage side. So to begin with and that's basically what you are saying I would really want to underscore that we have no worries whatsoever about the quality of our mortgage portfolio from a credit loss perspective. The migrations you saw are mainly explained by the classification of non-performing for bond exposures which added SEK 1.2 billion but only SEK 34 million in provisions due to the low level of risk. Most of these households are still paying interest on their loans, but forward-looking have a weak affordability. So that's the reason behind it. And this is something that concerns a very limited part of our portfolio. But I'll just repeat, so from a loss -- credit loss perspective, we have no worries about this.
Andreas Hakansson: Thanks. And then also on asset quality, your IFRS 9 model, should we because when I look at your own macro assumptions, you expect a significantly higher GDP growth and lower interest rates in 2025 than what you had in 2024. And as those estimates now start to be drivers of the IFRS 9 model, should we really not be expecting quite large reversals from a model point of view? And if that takes place, will it not be harder to justify to your auditors to keep your model overlay provisions?
Jens Henriksson: Yes, you're correct. So when you look at the macro projections, they have been improving regarding GDP, interest rate projections, house prices, et cetera. So many of the factors that goes into that have been improving. But what is also contributing part to our macro forecast estimation is also credit cycle adjustments we make for different sectors. For several sectors like property management and households, this was positive. But for other sectors like manufacturing and some others, there are lingering effects from the downturn which had a negative impact. This is also why the net effect has not yet turned into reversal.
Andreas Hakansson: But as you say, I mean, there will be a positive effect over the year. And if the macro economy is improving overall, isn't it actually more likely that loan loss provision this year is going to be closer to 0 than it's going to be closer to SEK 2 billion or something where consensus is forecasting?
Jens Henriksson: I don't want to make any forecast, but obviously when macro figures improve and also when the credit cycle adjustments start to improve, you could expect of course, this to reverse.
Andreas Hakansson: Yes, thank you.
Operator: The next question comes from the line of Markus Sandgren, Kepler Cheuvreux. Please go ahead.
Markus Sandgren: Good morning, everyone. So I was just if I could come back to capital. You said before that you will as soon as the U.S. investigations is out, you will steer towards the 200 and now you're mentioning the range of 100 to 300, does that steering towards 200 still stands? And then secondly, on NII, some of your peers have started to lower mortgage rates already on a product that is already too slim priced. What's your take on that one given the increased competition on or lower margins on deposits? Thanks.
Jens Henriksson: Well, let me start first with the mortgage rates. It's a tough competition out there. But as I said, we've increased our sales for our own channel the last six months every month. And we have a very competitive offering. And when interest rates start to go down, of course, interest rates will also go down from our side. Anders, do you want to follow-up?
Anders Karlsson: Yes, Markus. And just to be clear on what I've been saying all the time, we will stick to our pricing strategy where we are individualizing pricing on mortgages and actively work with that. On your capital question, the message that we sent on the Investor Day still stands. But again coming be very clear on that we need to have the uncertainty from the U.S. Investigations behind us. But the range of 100 to 300 is not in any way contradicting steering towards the mid of that range.
Markus Sandgren: Okay. And just to clarify, did you say no headwinds from Basel IV?
Anders Karlsson: I said that in 2024, we don't see any regulatory headwinds. They will most likely come in 2025 when Basel IV is implemented and we are further down the road and potentially on the IRB very much in accordance with what we said on the Investor Day.
Markus Sandgren: Okay. Thanks.
Operator: The next question comes from the line of Shrey Srivastava from Citi. Please go ahead.
Shrey Srivastava: Good morning and thank you for taking my question. I'd like to actually dig a bit more into the beat on commission income. You obviously call that higher average stock market for better DCM, but cards were all. Hello can you hear me?
Jens Henriksson: We can hear you good.
Shrey Srivastava: Sure. But cards were also seasonally lower and this should come back with economic activity. Could you give us any more color on the various puts and takes going forward and how you see this developing in the next few quarters? And my second one is just another one on the deposit mix shift. I know you said this is a longer-term trend, but as you've got closer to presumed peak in the hiking cycle, how do you see customer behavior going into that? You would have thought that as rates peak you would expect more customers to be trying to lock in higher rates on fixed term products. So I'd be interested to hear any thoughts you have on that. Thanks very much.
Anders Karlsson: Thank you. There were so many questions that I've nearly forgotten. So I will start with your first one. When it comes to customer behavior moving into fixed term primarily. As we have been saying, it was quite sort of dramatic in the beginning of the rate cycle and it has sort of diminished gradually because this is typically excess liquidity that we talk about, how people will behave when the economy is turning around is very difficult for me to forecast. We will continue with what we have been doing all the time that is to work actively with our administratively priced products on both the asset and liability side. On your commission income question, you know that we are the largest Asset Manager in our home markets. We see positive net inflows, but more importantly as you know the stock market performance is the underlying driver. I will not forecast the equity market development going forward, but that sort of has been successful in the quarter on the back of benign stock markets. When it comes to cards and payments, what you saw in the quarter was a slight uptick in payments, but a seasonal downtick on card acquiring. This is seasonal so we expect card acquiring again to come up when consumption is coming up. And even further so when the economies might recover and go into a positive territory. Then we have debt capital markets and corporates finance where we have seen end markets being quite benign during the first quarter. And if that continues we have a strong position there.
Shrey Srivastava: Right. That's very clear. Thank you very much.
Operator: The next question comes from the line of [indiscernible] of JPMorgan. Please go ahead.
Unidentified Analyst: Yes. Hi. Thanks for taking my question. So I have one on fees. So can you just elaborate what the line of other fees is? So there's about SEK 100 million improvement quarter-on-quarter. And also overall on fees, is there any performance based fees or any front loaded fees in this quarter? And then second would be on NII. Just if you could guide on NII trajectory going forward for 2024? Thank you.
Anders Karlsson: I will start with your first question, while we are digging into your -- or your second question while we're digging into your first question. We don't give you the guidance on NII. I think I gave you some of the parts, but again to reiterate some of it. If you look at the updated NII sensitivity, it has come down compared to what we communicated in the Investor Day. On the back of the fact that what we have been talking about during this call, we have more capital market funding and more higher paying deposits. These volumes also have a higher beta to market rates. If rates are coming down, we will have some negative effects that we have talked about in the past, but there are also some tailwinds in terms of market based funding costs coming down gradually and nothing more than that. So I will not give you any guidance on NII. Yes, I think you have the bits and pieces to play around with. And on your first question, I think I need to come back on that one. I don't have that on the top of my head.
Unidentified Analyst: Sure. Thank you.
Operator: The next question comes from the line of Hugh Moorhead, Berenberg. Please go ahead.
Hugh Moorhead: Hi, good morning and thanks for taking my question. Just another one on the potential for surplus capital distribution. I think you've previously suggested in the past that you'll wait as well as for the U.S. case to resolve, you'll also wait for your mortgage model review to be processed. Given you don't expect that to happen in 2024 by the sounds of things, is it fair to assume that even if you settled in the U.S. tomorrow say there would be no surplus distributions during 2024?
Anders Karlsson: On the mortgage, you're referring to the P2R add on I assume, which is relating to our mortgage portfolio. As you know, we are rebuilding our models in accordance with regulators expectations. The first and we will do this sequentially even though we are doing a lot of things parallelly, we will send them in gradually and the mortgage application will be the first one. Then as you know the regulatory process starts and there we do not have either the knowledge or the possibility to influence that. But that is the first priority we have for this year to send in.
Hugh Moorhead: Okay. Thank you. And but sorry, is that going to -- I guess is that a significant overhang in the same way that the U.S. case is from you reducing your surplus capital?
Anders Karlsson: Yes. It's a locked in add on that will be released when the new models are approved and it is of significant importance. I agree with that.
Hugh Moorhead: Okay. Thank you.
Operator: [Operator Instructions]. The next question comes from the line of Jacob Kruse, Autonomous. Please go ahead.
Jacob Kruse: Hi. So, two questions. First on the NII, could you just you referred to this SEK 340 million of margin pressure in the quarter. It sounds like it's not mix change on deposits, specifically this quarter. So could you just set out a little bit where, which products this margin pressure is coming from? And secondly, just a follow-up on the previous question here about the model approval and your capital distribution. Just to be clear, are you saying model approvals need to be done before you can start looking at excess capital distributions? Is that how I should read it? Thank you.
Anders Karlsson: Thank you. On your first question, I think what is different in this quarter compared to some of the other quarters is that short-term rates have been quite stable and that is what I try to convey. And if you take the two year horizon that I talked about where corporate deposits on higher margin accounts have decreased gradually and been replaced by market funding. That is not something that appears in the quarter. It's more an effect of the fact that rates have been more or less stable, which is then obviously these things are surfacing and being more visible. So muted lending volumes and increased funding cost that has been gradually coming into the books is the underlying reason for this. And on your second question, I hand over to Rolf who is the expert on model development and the process.
Rolf Marquardt: Thank you, Jacob. So when we communicated during the Investor Day December last year, we made an assessment about our capital situation. And when we did that, we knew about the approval process regarding IRB. And this is a gradual process. It will take time and we will get the approval step by step over the coming years. And we have not changed the assessment we made back then.
Jacob Kruse: Okay. So can I just follow-up on slightly on these two? So, in your NII bridge funding cost is a separate item. I know you talked about margins coming down. I'd still struggle a little bit to understand, which margin you're talking about driving this SEK 311 million specifically on the margin side. And just on this capital thing, so I understand that there's an ongoing process, but could you say if this is or isn't a prerequisite before you can return to capital distribution? Thank you.
Anders Karlsson: To be very clear, the main driver is deposit margins.
Jacob Kruse: Deposit margins because of pricing or because of mix change?
Jens Henriksson: Well, let me see if I can explain it. Anders you have to kick me on my leg if I say something that's wrong. But as I said, it's a quarter with good results, but we see that our funding costs have increased. And that's a combination of factors. One is that we have done preemptive financing on the capital markets as Anders talked about the 81 and the senior non-preferred. So that's one issue. The other issue is that you see a quantitative tightening happen in the market and that means that the amount of liquidity has decreased. And then what happens is that we need to finance that through mortgage based securities more. And the other thing is that happens a mix shift. So that means that when companies have less money on their accounts, they tend to use the money on accounts with lower interest rates. And then as Anders said that we see some still some movement. So it's pretty stable and it has not gone up when customers move from lower account with lower interest rates to higher interest rate. And that's totally we advise our customers to do that. When we meet -- I meet private customers. I talked about have a little money on your transaction accounts, have your savings on a savings account and we have great offers on the fixed terms.
Anders Karlsson: On your second question, we -- if you remember from the Investor Day, we were trying to take into consideration potential capital headwinds from Basel 4 and the IRB overhaul. We have no information that changes our communication during the Investor Day and as of today.
Jacob Kruse: Okay. Thank you very much.
Operator: Ladies and gentlemen, that was the last question.
Jens Henriksson: So, I just want to thank you all again for calling in. And once again, I'm very proud to stand here and say that we delivered a strong result with return on equity of 16.9%. And I look forward to seeing you in different meetings or then in what is it June? And then we hope that it looks like on this picture actually even a bit greener. Thank you everybody for calling in and take care. Bye.
Annie Ho: Goodbye.